Operator: Good morning, my name is Mitchell and I will be your conference operator today. At this time I would like to welcome everyone to the Cognizant Technology Solutions Fourth Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers remark there will be a Question and Answer session, if you would like to ask a question during this time, simply press “*” and the number “1” on your telephone keypad, if you would like to withdraw your question, press “*” and then number “2” on your telephone keypad. Thank you, I would now like to turn the call over to Peter Schmidt of Financial Dynamics.
Peter Schmidt, of Financial Dynamics Investors: Thank you, and good morning everyone. By now you should have received a copy of the Company’s fourth quarter and yearend earnings release, if you have not, please call our offices at 212-850-5600, we ensure that a will be copy sent to you. On the call today we have Lakshmi Narayanan, President and CEO, and Gordon Coburn, CFO of Cognizant Technology Solutions. Before we begin, I would like to remind you that some of the comments made on today’s call and some of the responses to your questions may contain forward-looking statements, these statements are subject to the risks and uncertainties as described in the company’s earnings release and other filings with the SEC. I would now like to turn the call over to Lakshmi. Lakshmi, please go ahead.
Lakshmi Narayanan, President and Chief Executive Officer: Thank you, Peter and good morning everyone. Thank you, for joining us today for Cognizant’s fourth quarter and full year 2005, earnings call. As we anticipated 2005, was another exiting year of industry leading growth for us, marked by the achievement of several key milestones of the Company. I would like to summarize first, this quarter and 2005 full year performance and then talk about the trends, from which, we expect to benefit in the year 2006. We finished the year with record fourth quarter results and our performance for the quarter and the full year exceeded expectations. Using our strong technology expertise, business knowledge and an industry-aligned structure, we collaborated efficiently with our customers to make a difference to their businesses. I am pleased to report that our relentless focus on our customers has enabled us to surpass the milestone of an annualized $1 billion in revenue run-rate towards the end of the quarter. Firmly placing Cognizant, in the top gear of the offshore IT solution events. We also finished the year, with the record number of new heights, demonstrating the depth and ability of the management team to manage rapid growth. These achievements underscore the Company’s consistent execution discipline and focus our ability to effectively manage our industry leading growth, while solidifying Cognizant’s position as a customer focused technology partner, capable of delivering consistently strong performance across all of our key financial operating metric. We begin the year 2006, with a strong management team well trained workforce a great partnership with our strategic customers, under strong pipeline of opportunities to deliver industry leading growth rate. This morning I will discuss major factors under spinning our fourth quarter and full year 2005 results, and share with you the key drivers and overall market trends that show every sign of continuing to have positive impact, on our performance. I will also discuss our outlook for 2006, and some of the investments that we have been steadily making to support our growth, well into the future. Francisco D'Souza, Chief Operating Officer will give color on some of the operational highlight in the quarter and talk about key activities in 2006, and then I will turn over to Cognizant’s CFO, Gordon Coburn, who will take you through our number in greater detail. Three factors, we have primarily catalyst of our record performance in the fourth quarter. First, we strengthened our leadership position in our fastest growing verticals. Secondly, we continue to expand our range of horizontal service offerings, driving significant growth by following us to effectively cross-sell new services to our clients, and meet the rapidly growing demand for complex large-scale outsourcing solutions. And finally, during the quarter, we extended our strategic customer relationship existing once, built in our track record of continuously delivering high levels of client satisfaction, through our tightly integrated global onsite offshore business model. And our corporate culture, crowned in the belief that client satisfaction is paramount. Turning to each of these drivers in more detail, I am pleased to report that the experience secular growth across our major vertical during the fourth quarter. Cognizant further strengthen its leadership position, in its fastest growing vertically; financial services, which includes Insurance and Healthcare and Life Science. We won, four strategic clients including two Global Financial Services firms and one Global Healthcare provider. We also find a major telecommunication firm as the strategic customer, sustaining the momentum that we have built in our telecom vertical over the last several quarters. As previously discussed, we define the strategic client of one offering the potential to generate between $5 million and $40 million above, in annual revenues for Cognizant over the long term. As you know Cognizant is one of the first offshore services Company to align with business across industry, across vertical industry. As strategy rooted in our belief that deep industry expertise and domain knowledge, will enable us to deliver the most value for our clients over the long-term and capitalize a new growth opportunities as the further expander services. Going to our horizontal, growth in our horizontal services also contribute to our strong performance in the fourth quarter. As we cross towards new services to our clients. We saw escalating demand for a broad range of horizontal solution, particularly high performance Web & Development initiatives, Complex System Development engagements, Testing, QA and Testing, Customer Relationship Management or CRM, Data Warehousing and Business Intelligence. We also began work on significant Web Interface development projects for many companies in our new technology vertical, which includes software product companies and global firms with sizable online business. I am pleased to report that Gartner recognized to our CRM practice, as the leader among the offshore based provider. In addition, we saw an increase in demand for legacy to web transformation initiative, as a result of our partnership with Microsoft. In recent quarterly calls, we have also discussed our rapidly growing ERP practice, specifically our strong partnership with SAP, Frank will give you an update on SAP and other service offerings in a few minutes. Turning to our financial results, I would like to point out that our strong performance clearly reflects our ability to successfully build deep relationship with our clients. We recorded revenue in the fourth quarter of $256.9 million, $4.9 million above our guidance and an increase of 49% from the fourth quarter of 2004. Earnings Per diluted Share in the fourth quarter excluding the one time $0.08 benefit of repatriating profits generated in India were $0.31 compared to $0.28, in the third quarter of 2005, and $0.21 in the fourth quarter of 2004. GAAP-EPS was $0.39 for the quarter. We also added a total of 25 new clients in the quarter. Overall for 2005, revenue increased to eight tens increased by 51% to $885.8 million, above our guidance of at least $881 million. Operating margin was 19.9% in the quarter and 20.1% for the year, consistent with our target margin range of 19% to 25%. Our focus on continued success in our vertical practices areas highlights a key growth engine for Cognizant in 2005. On a full year basis, Financial Services and Healthcare grew 52% and 51% respectively. As of the end of 2005, Cognizant works with the three of the top 5 Healthcare companies in the US and 7 of the world’s top Pharmaceutical companies emerging as a leader with deep domain and technology expertise in these works. Cognizant also recorded substantial growth in its Testing, Data Warehousing and Business Intelligence, horizontal areas and assumed a leadership position with broad industry recognition. Cognizant also completed the largest ever legacy transformation to the web and by the virtue of its work with leading online web business leaders, is recognized, as a leading provider of high performance web-based solutions. As I said earlier, Cognizant had a record number of staff in 2005, finishing the year with the net addition of 9000 employees, bringing a worldwide head to total employment, to about 24,300. We have successfully executed our growth strategy in large part, because of our ability to tract the best and the most energetic minds in the industry. These staff recruits, ranging from recent college graduates to MBA’s, senior-level architects, program managers and vertical practice leaders are increasingly attracted to Cognizant, for it’s forward-looking corporate culture and strong reputation for both customer and the employees satisfaction. With the steady focus on our long-term strategy, we continued to hire aggressively in anticipation of the strong demand for our solutions. The integration, training and development of new hires into Cognizant customer focused culture, is a testimony to the management team and our rigorous systems and prophesies. Our success builds up on the quality of talent that Cognizant continues to attract at all levels of the organization. In 2005, we increased the depth and breadth of our management team and assembled a highly selective team of experienced world-class managers, with extraordinary vertical domain and technology expertise, as-well-as first rate management capabilities that compliments the executive management team that we have had in place, since the early days of the Company. These hires are consistent with our strategy of adding senior-level industry experts who possess deep knowledge of the business and technology challenges that are clients face, enabling us to further strengthen, our client relationship. I am happy to say that our tremendous growth has enhanced our progressive corporate culture and dedicated investments in employee and customer satisfaction. Cognizant’s growth is managed by a diverse, but cohesive group of leaders and this strong unified and stable management team, has enabled us to grow consistently while maintaining our very high-levels of satisfaction among both customers and employees. Before discussing some of the key trends that we see driving Cognizant’s growth in 2006. I would like to have Francisco, give you an update on some of our horizontal service offerings and our infrastructure expansion projects. Thanks.
Francisco D'Souza Chief Operating Officer: Thank you, Lakshmi and good morning everyone. On our last call, we discussed in detail our strategic partnership with the SAP and relationship with the SAP Labs with whom we are performing testing and quality assessment and analysis on the entire NetWeaver Stack. We continue to see the benefits of our investments in SAP, as customers are increasingly turning to Cognizant to build custom solutions and frameworks, tailored to their specific industries and also to support the ERP initiatives from planning through implementations, maintenance and upgrade cycles. We continue to build on our momentum in package implementations in general and SAP specifically. Our ERP horizontal grew approximately a 100% in 2005, and we continue to invest in this service line. We are also seeing growing momentum for our infrastructure management services, which we announced in 2004. This practice is an example of our ability to anticipate our client’s needs and develop complimentary solutions to our core offerings, in this case our software maintenance services. Our infrastructure services group monitors, manages and enhances the performances of every element of our client’s critical IT infrastructure backbone including networks servers, databases in applications infrastructure. This new service is growing rapidly and recorded the growth about 125% over year 2004. It was a great honor for us to have recently been named, “The Supplier Of The Year 2005” by JP Morgan Chase, “The Supplier Of The Year” award recognizes excellence by suppliers globally, who demonstrate superior performance in quality, integrity, innovation and value. Cognizant was one of only eight firms and the only system integrated to receive this award in 2005, from 1000’s of suppliers that effect JP Morgan Chase business on a daily basis. We are extremely pleased with our team’s performance and we look forward to the continuing growth in our relationship with JP Morgan Chase. As Lakshmi mentioned earlier, we continue to invest in our infrastructure and training to meet future demand for Cognizant’s Services. In 2005, Cognizant Academy our in-house Training and Development division, completed a record number of courses, clocking over 1 million training hours. The academy has expanded its footprint in India and overseas, and now offers, e-learning as a standard for all our employees globally. With that, I will turn the call back over to Lakshmi.
Lakshmi Narayanan , Chief Executive Officer, President: Thanks Frank, I will touch upon the outlook for 2006. Looking forward, several indicators underscore our belief that 2006 will be another record for Cognizant. First is our ability to be the provider of choice, in markets like Financial Services, Healthcare and Life Sciences. Our investments in expanding our vertical industry expertise and range of services, as well as the industry expertise, we have gained from partnering with the top companies in these industries, will only enhance our competitive advantage in these segments and boost our ability to win more new business. As more and more customers embark on the mixed wave of Web deployment, Cognizant is in a very strong position to collaborate with its customers and deliver high performance solutions. Secondly, we begin the year 2006, with a strong and committed management team that has been stabled for the past several and effectively inducted a number of new managers at all levels. And thirdly, we begin the year with the bulk of the human capital required to execute in 2006, trained and already in placed. We anticipate that the superior client satisfaction, we have achieved in 2005, will stimulate further growth. Of our 67 strategic customers at the end of 2005, only five have reached maturity, which is evident of the tremendous growth potential of these customers relationship. And our top customers continue to grow their relationship with us. We also continue to investment in the areas that we will believe, will drive significant growth opportunities for Cognizant over the long term including Europe, and our vertically oriented business process outsourcing service offering. We also made the decision early to keep the utilization relatively low in order to enable us to response quickly to the changes in necessary to keep our business growth. Our strong performance in 2005, has demonstrated the success of our strategy and we are more confident than ever that we are well positioned for the year 2006. With that, I will ask Gordon to walk you through the numbers in greater detail. Gordon.
Gordon Coburn, Chief Financial Officer: Thank you, Lakshmi and good morning to everyone. I like to provide some additional information on the fourth quarter and then discuss our financial expectations for the Q1 of the year, as well as the full year of 2006. Revenues for the fourth quarter exceeded our prior guidance, due to the continued application management ramp-up, of clients won over the past few years and more importantly continued greater than anticipated strength and discretionary developments spending, a trend that started for us in second quarter of 2003. Revenue grew 9% sequentially and 49% year-over-year, our core business remains vibrant and our pipeline is robust. For the quarter Application Management and Application Development, each represented 50% of revenue. Both services grew significant in Q4 on a year-over-year basis Application Management grew 42% for the quarter and 44% for the year. Application Development grew 55% for the quarter and 59% for the year. On a quarterly sequential basis, Management grew 5% and Development grew 13%, reflecting the surge in development spending, which we experienced during the quarter. The largest driver of growth in 2005 was Financial Services, which includes our practices in Insurance Banking and Transaction Processing. It grew by more than $150 million and represented 50% of revenue. Healthcare grew over $59 million in 2005, and represented 20% of revenue. Retail and Manufacturing and Logistics grew by over $45 million, representing 17% of revenue for the year. The remaining 13% of our revenue for 2005, came primarily from other service oriented industries. During the quarter 88% of our revenue came from clients in North America and Europe was 11% of total revenue. The remaining 1% of revenue came from the Asian Market. We added 25 new customers during the fourth quarter, we closed the year with an active customer base of approximately 250. During the quarter, we added four accounts, which we consider to be strategic and have the potential to become significant revenue sources for us in the future. We ended works for approximately 23 clients during the quarter, almost all of which, are very small clients. During 2005, we added a total of 19 strategic clients, bringing our total numbers clients, currently opted to 67. Turning to cost, cost of revenues increased 44%, for the quarter as compare to the fourth quarter of 2004. The increase is due to the additional technical staff, both onsite and offshore which parted for our revenue growth. We increased our technical staff by over 1,800 people, during the quarter and on end of the quarter with approximately 22,700 technical staff. This is a net increase of approximately 8,500 technical staff in December 2004. Gross margin was 47.1% for the quarter, an increase of 150 basis points sequentially. Gross margin in Q4 was positively impacted by items such as the depreciation of the Indian Rupee throughout the fourth quarter, the seasonal heading of the cap for Piqua (phonetics) in the US. The seasonal flattening of the pyramid due to the time of collage graduate hirers and the slight shift in the mix of work towards offshore, which have high hires gross margins. As SG&A expenses including depreciation, was $69.9 million up from $42.9 million in the fourth quarter of 2004, as the percentage of revenue SG&A was 27.2% in the fourth quarter, up from 240 basis points from the fourth quarter of 2004, and up 160 basis points sequentially, from the third quarter of 2005. During the quarter, we continue to strengthen our verticals in order to jump and execute and we aggressively hired plan partner to manage in growth of our customer base. And we further enhanced the reward training and leadership programs for our employees. Operating income for the quarter, increased 45% to $51 million from $35.3 million in fourth quarter of 2004, and our operating margin was 19.9%, which was at the upper end of targeted operating margin range. Interest income for the fourth quarter increased to $2.9 million compared to $1.5 million in the fourth quarter of ’04. Interest-income increased due to a higher global cash balance, as well as increase-US short-term interest rates. We had $737,000 foreign exchange last during the quarter due to the Indian Rupee and European currencies this was all a balance sheet exposure. Excluding the beneficial impact of yearend repatriation, which I will discuss shortly. Our tax rate through the year was 17%, slightly below our prior estimate of 17.8%. The decline resulted from location of our profits differing slightly from our expectation, when we gave up our prior guidance. As previously disclosed in the fourth quarter of 2005, Cognizant completed the repatriation of approximately $60 million of earnings, just to ensure American Jobs Creation Act of 2004. Been into a onetime income tax benefit of approximately $12.4 million or $0.08 per diluted share. Our GAAP tax rate for the year was 10.3%, this includes the onetime $12.4 million beneficial tax of our yearend paid foreign repatriation to which I just referred. Turning to the balance sheet, our balance sheet remained very healthy. It finished the fourth quarter with approximately $424 million of cash in short-term investments, up over $55 million at September 30th of 2005. During the fourth quarter, operating activities generated approximately $68 million of cash, the financial activities primarily to exercise stock options, generated as of $13 million of cash. These amounts our partial offset of approximately $24 million in capital expenditures during the quarter, Pune expenditures on our India construction program. In addition we miss $2 million of cash due to the currency translation adjustments. For the full year, our cash and short-term investments move up by approximately $109 million. Our collection of trade receivables during the quarter improved from September levels based on our $176 million plus balance on December 31st. We finished that quarter with DSO including unbilled receivables of 63 days to purchase 67 days at the end of September. For the full year, our cash short-term investment through by partly $109 million. A collection of trade receivables during the 4th quarter improved from September based on $176 million first balance on December 31st.. We finished the quarter with the DSO including though receivables of 63 days with purchase of 67 days of the end of September. Excluding and unbilled receivable our DSO is 55 days. The quality of our receivable portfolio remains very strong. Our unbilled receivable balance is $22.7 million, at the end of the fourth quarter down $2 million from the September level. The decreased unbilled receivable, we talk primarily from the time of fixed milestone for the yearend. On a year-over-year basis unbilled receivables increase approximately $8.6 million primarily due to overall volume growth of the business. During the fourth quarter overall 25.7% of our revenue came from fixed contract, a 150 basis point increased from the third quarter 2005, and up from 24.6% in the fourth quarter up 2004. When we look at the mix by solution type during quarter 33% of our developed revenue and 19% of our maintenance revenue came to fixed contracts. On a full year basis, overall 25.2 % of revenue came from fixed contract. Turning to headcount at the end of the fourth quarter a worldwide headcount include both technical professionals and support staff, total just over 24,300. This represents the net increase of over 1,900 during the quarter and over 9,000 people compared to December of last year. Approximately 50% of our Q4 hirers of recent collage graduate who will enter our training program and the remainder will narrow hire, which giving quality professionals. Based on our 2006 revenue rectification and ongoing success in recruiting. We currently expect to see 34,500 people globally by the end of 2006, and we are moving along well towards this goal, having hired over a 1,000 employees, last month alone. Turn over including of voluntary and involuntary was approximate 14% annualized, during the fourth quarter, with the full year our total utilization grows approximately 15%. With that majority of Cognizant turnover accrues in India, result in onsite annualized attrition rates, below the global rate. And in addition attrition is heavily weighted towards among most junior members of our staff. Onsite utilization was around 85% for the quarter, offshore utilization excluding recent college graduates who are in our training programs during the quarter was approximately 69%, included trainees offshore utilization was approximately 52% for the quarter. We had approximately 3,500 unbilled people in our training program at the end of quarter. I would now like to comment on our global expectations for Q1, as well as full year 2006. As we mentioned on our third quarter call on October, we have been receiving positive feedback from our client and top managers about our top growth officers in 2006, as client pick to do broader range of services with us. We are projecting revenue for the first quarter of 2006, up at least $275 million. We continue to have significant revenue visibilities into a high level of the return revenue in the long-term nature of our customer relationship. In fact today we have customers commitments well below over 90% of our first quarter revenue guidance. For the full year 2006, based on the strong demand environment to offshore services and our favorable ramp-up experience laid. We project revenue to be at least $1.26 billion, this represent growth of at least 42%. As has been typical in the prior quarters, we majority of our growth for Q1 and full year 2006, will come from the ramp-up fine one of the past few years. During 2006, we intended continue to post demand our spending expect our operating margin to remain in 19% to 20% level. In mind with our stock margin level and prior guidance, as stated on previous occasion, please note that our operating margins target and guidance, exclude the impact sales 123R equity compensation expense. With this expected level of revenue growth and expected operating margins we are currently comfortable with our voyage deliver in Q1, GAAP EPS of $0.29 and EPS of $0.32 excluding far as 123R equity compensation expense. This guidance includes the anticipation of a Q1 share account of approximately 149 million shares, the tax rate of approximately 17.5%. Operating margin in the upper half of our guidance range, once gain excluding the cost of sales 123, and the absent of further non-operating foreign exchange change of loss. Based on current business trends, we expect GAAP EPS for full year of at least $1.30 and full year EPS of at least $1.43 excluding FAS 123R equity compensation expense. This guidance excludes the anticipation of a full year share account of approximately 115 million shares and adjusted in the guidance systems it’s up full year tax rate is 17.5%, operating margins in the upper end of our guidance range for it has 123, and the absence of our foreign exchange gains or losses. We expect vast majority of our Q1 and full year growth from our existing clients, particularly the numerous strategic deals we have won in the past few years. As we look ahead, to all of 2006, we are highly encouraged about our prospects for continued industry leading growth. We would now like to open the call for questions, operator.
Questions-and-Answer Sesssion:
Operator:
Operator Instructions:
Q - Julio Quinteros: Gordon, Good morning, Lakshmi, good evening, I think or good morning to say where you are located today?
A – Gordon Coburn: Lakshmi is sitting right with us.
Q - Julio Quinteros: Good morning to both of you guys. Real quick on the utilization trends as we go forward given the pace of timing that you guys are obliviously doing, what should we expect the utilization trends as we look forward in 2006, which quarters could be sort of you know lower then expect the utilization trends because your are ramping up in, and just kind of remind us what the normal quarterly trends will look like especially as it relates to the normal hiring calendar year you guys go the course of the year.
A – Gordon Coburn: Yeah sure. You need to break that it into onsite and offshore, onsite we started to stand at mid upper 80% range. For Offshore you have to look at utilization with or without trainees. If you would recall early 2004, we changed our business parameters, we used to try to hire all the trainees in the summer, now we try to hire them more evenly throughout the year. And both stays same spikes at rocks in terms of utilization including the trainees, so you will continue to see a spread up between with and without trainees that will change to little bit of December sort of tends to be the peak period because you do still have more trainees coming in the back half of the year than the front, but you look in ‘05 we saw GAAP closed to a little bit in Q1 and Q2 and then opened up, so I am not sure you, you would expect any dramatics in utilization.
Q - Julio Quinteros: Okay Thanks, and then I would related to the onsite, offshore again-
A – Gordon Coburn: I am sorry, let me add one more comment to that, and one of the things where I think we have been very successful is actually running the business with the utilization level that allows us to quickly respond to our client, as clients will look at your broader range of services, we don’t’ know if the next contract there will be for 200 testing people or 200 dotnet people or 200 infrastructure people, so we want to make sure we have very deep and broad bench, so that we can respond quickly and effectively to our client needs.
Q - Julio Quinteros: Alright. It sounds like some other guys are also looking at your same play book, in that regards?
A – Gordon Coburn: Yeah, now I think people have looked at what we are doing and realize, yeah that’s what the customer will imagine.
Q - Julio Quinteros: Yeah I appreciate that, I just want real quickly on the onsite, offshore effort mix, could you actually provide the number, did you provide or, you didn’t?
A – Gordon Coburn: Yeah I will give to you. Before the quarter we moved up one percent more offshore and I am going to tell you that, that statistic, we are 25% onsite 75% offshore and that was about 1% to 2% movement from prior quarter, and that it would dance round a little bit.
Q - Julio Quinteros: Okay, and then did you provide the account data for the quarter, having some up 5, top 10 etc.,
A – Gordon Coburn: Sure, top 5 was 34% of revenue, top 10 was 45% of revenue.
Q - Julio Quinteros: I am sorry 34% and 45%?
A – Gordon Coburn: That’s correct.
Q - Julio Quinteros: And then in the top account is it still just one account that is over 10%?
A – Gordon Coburn: I think to the full year, there were no accounts above 10%, our largest account as Francisco mentioned earlier continues to grow but obliviously at a slower pace from the overall business, so on a full year basis there were no accounts above 10%
Q - Julio Quinteros: Okay.
A – Gordon Coburn: Let me speak little further, our top accounts, we do not deal with maturities, we continue to see what we believe is our very healthy growth opportunities.
Q - Julio Quinteros: But at the last quarter you still have one account that was over 10%?
A – Gordon Coburn: Actually in Q3 we have two accounts that were over 10%, now obliviously they weren’t a lot of 10%, because of the strong growth we had in Q4 that’s just below 10%.
Q - Julio Quinteros: Got it okay, great thanks
Operator: Your next question comes from Adam Frisch with UBS
Q – Adam Frisch: Thanks and good morning, just you explain on that point of little bit on the offshore companies, there seems to a trend that offshore companies are stretching, they keep even a bigger bench in India then they had historically, its never been expensive but why now are vendors suddenly making a bigger push to expand the bench even more, is that because of the demand or because skill sets are more specific and not flexible between different kinds of project or what?
A – Lakshmi Narayanan: Yeah, I don’t think, the way we look at it is, the utilization with correlated with the growth, faster the growth lower the utilization in order to keep a bench of people. So, we have to keep the people we have hired and trained because there is a broad set up services that we are expected to deliver. So as the breath of service offering increase we need to keep a certain minimum number of people trained in each of those service offerings, that’s automatically contribute to a higher bench strength and slightly low utilization. This is something that we continue to monitor so the, the way to look at is growth and utilization are very closely correlated and the utilization will be lower as the solutions that we offer broaden over a period of time.
Q – Adam Frisch: Okay. Switch gears on utilization, Gordon, you said the year which is expected to be pretty similar to ’05, including Chinese?
A – Lakshmi Narayanan: You are talking about for ’06?
Q – Adam Frisch: Sorry, yeah for ’06?
A – Gordon Coburn: We don’t guide to utilization but as I mentioned earlier, you know structurally in the business that doesn’t change materially, obviously, I am sorry it won’t stay exactly where it is, but there is nothing structurally that changes it.
Q – Adam Frisch: And would it any pricing expectations for ’06 for offshore resource?
A – Gordon Coburn: Yes, lets not focus on offshore but just overall pricing which is really what matter, our assumption is, that it will be little bit again in ‘06 just as it was in ‘05 and ‘04, and we don’t expect it to be up dramatically, but we are in ‘04 and ‘05 I think each year we got about 1.5% on an average, that’s probably reasonable assumption for ’06.
Q – Adam Frisch: Okay and then finally you are much bigger company today than you are even of few years ago with the growth, are you still small enough where you looking at your upper bounds of growth in percentage terms or now that you are bigger are you looking at more in terms of absolute numbers or dollar?
A – Gordon Coburn: I think its becomes a little bit of both Adam, I still think about it in percentage terms, because you know the constraint to growth is not recruiting, its not training but it is integration of people on to existing project teams and as such denominator gets bigger, having more project teams obviously you can integrate more people, but I think overtime the percentage does comes from down a little bit but it is still as the percentage of the base, but obviously the percentage slowly comes down.
Q – Adam Frisch: So that, that range you have been quoting on repeatedly anywhere from 30 to 60 that’s still kind of the range that we are looking at, I don’t care, I don’t you to expect comment on the exact number or anything but the other something around 45% to 50% is not out of reach based on where your size of today, right?
A – Gordon Coburn: If the demand were there and that’s in it, we obliviously we got it to early 42% if the demand were there I think it is reasonable that we will have to supply to deliver that demand.
Q – Adam Frisch: And the infrastructure they have?
A – Gordon Coburn: Yeah, they have, the constraints, if there were any constraint it wouldn’t be infrastructure it would be just integrating people on to project teams that and at the level you are talking about I would not do that strange if demand were there?
Q – Adam Frisch: Okay cool, Thank you guys
Operator: Your next question comes from Ashwin Shirvaikar with CitiGroup.
Q – Ashwin Shirvaikar: Hi, nice quarter guys, congratulations. You know, as we look across your strategic clients, what is your penetration of wallet share on those clients, you know I have to think it probably really small may be couple of percentage is that right?
A – Gordon Coburn: Its still small, I think I used this, if I look at my existing customer base we are probably on the 20% to 30% kind of trade incomes, what we believe they want to do with us, obviously with some of older clients were more than 20% or 30% but we won a lot of strategic deals recently where we were variable single digit in terms of penetration and so we have a lot of opportunity just on our existing customer base and that’s why I mentioned that you know we expect the vast majority of our growth in 2006, to come from customers who are with us today and you know think that will always be the case. whenever we win a new customer it takes 3 to 6 months, because you are in the inflection point on growth and up because we won so many strategic accounts over the last couple years, we are not for hyper growth case but for a large number of them and because we are running at a lower operating margin than many others in the industry we have been very successful at actually growing this relationship so we can best define our against the industry expertise, all the things help grow relationship quickly. 40 -45
Q – Ashwin Shirvaikar: Okay and then, not to put you guys in the spot, but, as your consistency grow sort of, order of magnitude faster than the industry and faster than budget growth, who is getting squeezed out, who are you replacing in effect?
A – Lakshmi Narayanan: I mean, the way to look at is, if you look at the demand perspective, the demand is very strong, you know, are we any way near servicing all the demands that exist in the market, No. The way to address the demand is, what have we got in order to deliver, with two key components are, do you have solid management team and do you have the people to deliver results, would you continuously invest in the management team, both in terms of the expertise in the depth and the breadth as well have sufficient number of people that are trained and available, you know you can meet the demand. So, it’s typically these three components, demand as a given, the supply side that you mange with a good management team and you mange your utilization and the resources that are trained and are available at all point of time.
Q – Ashwin Shirvaikar: Okay, if I may ask a couple of, housekeeping type questions, Gordon, what’s your currency assumption in FY ’06?
A - Gordon Coburn: We, the budget assumption that stays right around where it is now.
Q – Ashwin Shirvaikar: Okay and any changes with the timing of wage increases?
A - Gordon Coburn: It is similar to the majority of the industry, we would plan on our general, what wage increases happening in April, same as last year.
Q – Ashwin Shirvaikar: Okay and as I look at your rather substantial cash balance now, is it makes sense to think of it as a whole or should I think of it as a 2 buckets , one in India, one in US?
A - Gordon Coburn: I think about it as one bucket.
Q – Ashwin Shirvaikar: One bucket, okay, thank you, great quarter.
A - Gordon Coburn: Thanks Ashwin.
Operator: The next question comes from Moshe Katri with Sg Cowen.
Q - Moshe Katri: Hi, Good Morning and let me add my congratulations for a very strong quarter. Cognizant is clearly firing on all cylinders especially relatively to some of your competitors, it also seems that Q1 guidance atleast directionally is much more deep in the typical patterns atleast based on the historical patterns. Can you comment on both of these data points and then, can you also repeat your target for headcount for ’06, thanks.
A - Gordon Coburn: Well, I will start with the target for headcounts for ’06, atleast 34,500 people and that are basically tied into same level of growth as revenue grows. In Q1 last year, we were a little bit, but not a particularly strong quarter, January did not get off to a great start just because timing of the budget and so forth. This year we guided to about 7% sequential growth , 51% year-over-year growth and that’s really based on projects getting more comfortable with us. We have heard a lot of these client partners and relationship managers and I think, it’s a huge difference in further improving this with the planning cycle we define. So, we don’t have as much of that January well, during the year, switch over to the budget cycle. So, I think, it’s our investment related to SG&A that is making difference.
Q - Moshe Katri: Okay, can you also comment on, let me just, generally, your performance versus your competitors, do you think it’s just because on a relative basis, you do have a difference purpose, may be at the different verticals that you are just missing on may be, it’s just the way you have been in kind of investing in your infrastructure drive during the past few years of so?
A – Lakshmi Narayanan: Moshe, let me answer that question, the key differentiator is the investment that we have made in the front end of the organization, the people, the specialists who work with our customers day in and day out. That’s showing up as a difference, we are able to tackle some of the higher order problems that some of our customers are facing and implement solutions very, very effectively. Thereby earning the right to continue the relationship, continue to grow the relationship as well as getting levels for customer satisfaction. So, it’s primarily the investment in the front end of the organization and in the corporate culture of an empowered organizations, that’s clearly differentiates us from the rest of the people while the others are perceived by the market that technology companies we are seen as a company that focuses on making the difference to the clients business and focuses on the outcome to the clients.
Q - Moshe Katri: So, and then, look at Q1 again, beyond is, you are saying, you have made some investments and the relationship managers and you feel that, the whole process is a bit more effective here. Is there any change fundamentally in demand, is that it’s just a function of Europe, maybe it is operating a bit more efficiently here or do you think that the demand is just accelerating in your case?
A – Lakshmi Narayanan: As Gordon pointed out, the proportion of the revenue on the development side is increases, which means customers are investing in new initiatives and transformation work and proposing new revenue streams that requires higher order capabilities both in terms of domain and technology. So given that, that is big push for us, we are almost even between maintenance and development work and further we continue to see an increasing trend in development particularly more and more of these new solutions that are deployed on the web, and there is a new wave of development that is happening on the web where we are very well positioned, thanks to some of the relationship that we have with the customer to have a significant presence on the net.
Q - Moshe Katri: The development portion is accelerating as you were saying, would it be correct to make an argument that on a relative basis, the revenue conversion as much quick and atleast the visibility improves as well, atleast in the near term?
A – Lakshmi Narayanan: Yeah. One you can say that, I mean, in the say, two years back we would have been extremely conservative about the proportion of the development revenue in terms of our forecasting now we are little more comfortable, fortunately.
Q - Moshe Katri: Great thanks. Good quarter.
Operator: Your next question comes from Andrew Steinerman with Bear Stearns.
Q - Andrew Steinerman: Good morning. Gordon, could you just go up and appraise us, can you just give us more precise numbers in the quarter, I know you gave a direction for the whole year and next year, and also in the sense of pricing, I know it is pretty much coming up, as you said 1.5% as it has in the past, but there are two things that causes into other offshore services, our firm could exhibit a little more pricing power than that, we had a recent conference call with many large users that emphasize quality over price, they are already getting a quite a good price. Don’t you think that Cognizant and it’s peers could get a little more out of price.
A – Gordon Coburn: Let me answer your specific question on rates, and then I will have Lakshmi give you some sort of pricing power and the tradeoffs on that. For the quarter sequentially pricing was essentially flat, it is obviously the loss of puts and takes obviously as our BPO business is starting to gain a little traction, after that it is lower rate, the high end development entirely, and net roll out is essentially flat, sequentially for the quarter, year over year, we are up 1% or 2%, rather about 1.5%, is also, exactly where we expected to be and as I mentioned probably we are about 1.5% on an average, next year and also the loss is given, just some takes in there.
Q - Andrew Steinerman: Right. And there was offshore $25 an hour or you are talking about the both.
A – Gordon Coburn: I am talking about both onsite and offshore, it is pretty much flat for the quarter.
Q - Andrew Steinerman: So pretty much 25.71 unchanged?
A – Gordon Coburn: Yeah. It is 24.5% something on that range and Lakshmi, do you want to comment on pricing power?
A – Lakshmi Narayanan: Yeah. I would like to, at this point of time, all I would like to say is, don’t place that much of a pressure on the pricing. Normally at any point in time, while there is an upward trend, but usually there is some pricing pressure on large contracts, on multiyear opportunities etc., but we don’t see that kind of a pressure. It is doesn’t automatically mean that there is scope for improving the prices. But I would view that lack of pressure favorable for the longer term, if the present employment rate continues etc., we could have some advantage in terms of taking up our prices.
Q - Andrew Steinerman: Sure. Thanks for the comments.
Operator: Your next question comes from Bryan Keane with Prudential.
Q – Bryan Keane: Hi. Good morning. On my count, the strategic clients were up about 19, which obviously is a big number, can you talk about how that pipeline looks in the sales cycle by region, I guess specifically US, Europe and Asia?
A – Gordon Coburn: Let me have Fransico answer that. He is clear with both of those.
A – Francisco D'Souza: Sure, Bryan, I think you know we continue to see strong demand for services across the industries that we serve in, in the US. Let me take the geography question first. In the US we continue to see strong demand across all of the industry verticals that we serve, and as we said on prior calls one of the phenomenon that we saw in 2005 was new industries, that historically had not been adoptive of off-shoring coming online and starting to use off-shoring as a core part of their business and IT strategy. In Europe we continue to see healthy traction in the UK market, and we are growing nicely there, and we are starting to see a pick up with interest across continental Europe, that is still relatively early. But the signs of demand picking up, in continental Europe are certainly there. That would continue to be an area of heavy investment for us in 2006 so that we can see as a growth opportunity for the long term. In terms of the pipe line for our strategic clients I think it is very much know nearer that they look forward to seeing go pipeline of strategic clients here in the US, and some in the UK and then beginning to see signs of that in continental Europe as well.
Q – Bryan Keane: And then how long does the decision process usually take, is it a 6-month sale cycle and then secondly we do sign a strategic client, is that usually the term of the deal a year, one year, what is the length?
A – Francisco D'Souza: Sure, I think that the, you know, a good rule of thumb is about a 6-month sales cycle although every client is different and you have situations that go longer than that in situations that go, sometimes more quickly than that, a good rule of thumb is six months. And you know generally speaking the way the strategic clients work, Bryan, is that these are really, if you were to use the term hunting license before we win a client, they select us, sometimes it is exclusively, sometimes with one or two others suppliers as their preferred suppliers. But then you really have to go through the organization and essentially win project on a case by case basis. And so the contracts are generally long term, beyond the year, sometimes they are evergreen, but there is no guarantee of work, you have go through and win projects on a case-by-case basis. And that is why after we win a strategic client there is often a period where you are working with the client organization to identify piece of work, so before you hit the inflection point in real growth it could be many months after you won the strategic client.
Q – Bryan Keane: Okay. And then just finally Gordon, the 20% to 30% penetrated that you mentioned with strategic clients, that of their plan spend, so basically so they have a you know a larger table that is looks like that you can incorporate in your future revenue guidance, that is not even near about 100% level.
A – Gordon Coburn: Yeah. Very important to note, Bryan, that is their plan spend with us, obviously some get that number, some go way beyond that number, some never get anywhere close to that, but generally when we win a deal, clients who have said, “hey if all goes well, here is where I want to catch up with you, it is based on that, it is not based on anything contractual, and you know it is Scattergram, you still have, we have gone way beyond that number, others are still sitting at small numbers.
Q – Bryan Keane: Okay and then let me just add for one last follow up, when are you, do you feel like you are taking business away from other tier ones, that also have the same client, or is that tough to call?
A – Lakshmi Narayanan: It is mostly the, we have not taken substantially report from other, but it is primarily from the in-house department, that is the way it has been. So, I would say it is new what is coming out of outsourcing.
Q – Bryan Keane: Okay thanks a lot.
Operator: Your next question comes from Cynthia Houlton with RBC Capital Markets.
Q – Cynthia Houlton: Hi, congratulations on the quarter, just a couple of questions, first on just an update on  EDS you did mentioned that in terms of any progress you are making, in terms of working with them, and any projects that you working on jointly?
A – Gordon Coburn: Cynthia, let me have Fransico answer that, he is very close to the EDS relationship.
A – Francisco D'Souza: Cynthia, we are about six months into our relationship with EDS, and as we said, when we first announced the relationship with EDS, we view EDS very much like we view, our other strategic clients. We signed the agreement with them, as I said about six months and we have been working over the last six months with them to identify specific opportunities that, on numerous fronts with them. I am pleased to say that we are now starting to see that, starting to ramp up, we are working with them, across a few different opportunities and we are very pleased with the progress that we have seen over the last six months.
Q – Cynthia Houlton: Great, and then just, when you look at your pipeline and the type of people you are looking for, could you give us a sense of both your current offshore mix and then kind of what you see the future of, in terms of the skill levels meeting to, 90% in EE and kind of what the mix of people you are looking for in your offshore locations, given news services like BPO and Infrastructure services.
A – Lakshmi Narayanan: Well, broadly we continue to focus on the technology, people with engineering qualifications, or some of the other computing, and one of the our key differentiators is the number of MBAs, the business school graduates that we hire, we continue to hire large number of those and integrate them with the technology as to provide business oriented solutions. But typically existing, the profile is technologist, plus the MBAs who constitute the bulk of the work force. And they are trained and within the organization on project management capability and domain capability in order to service the customers.
Q – Cynthia Houlton: Okay. And jus a final follow up is on M&A environment, Gordon, you know, is that more active, less active in terms of looking for, and of niche strategic sense?
A – Gordon Coburn: Cynthia, as you know we are selective in what we do, but you know there is, there are interesting opportunities out there, we focused on three areas, and continue to focus to three areas, one is geographic expansion, we have done acquisitions there, to be specific, technology capability, and we have done acquisitions there, and third is, industry specific capability. So we continue to look, look for all three analysis, you will find interesting things, which certainly act on it. Because, we have such a healthy organic growth outlook, we have the luxury of being selective but I would certainly expect and hope that we will be able find things in the future as we have, in the past.
Q – Cynthia Houlton: Great thank you.
Operator: Your next-
Gordon Coburn, Chief Financial Officer: Operator, we have time for one more call.
Operator: Okay, your final question comes from Rod Bourgeois with Bernstein.
Q – Rod Bourgeois: Yeah. Gordon, it is Rod here, wanted to see, in your guidance for 2006, can you give us any sense for how much revenues you are assuming from the relationship with EDS?
A – Gordon Coburn: It is probably no, our philosophy is never to breakout specific customers, it is client confidentiality, it is not our place to, if a client wants to talk about it, we will have to leave it to them, and as Francisco mentioned we view EDS as a strategic customer, we are about six month into it, and we are very pleased with the way the relationship is going. Certainly we are very pleased with the way a lot of other strategic accounts are going so well. We think it will be a, it is a very good relationship and we think it is good opportunity for us.
Q – Rod Bourgeois: Alright. Without disclosing what the level of revenues is, I mean, can you give us a sense if EDS were to complete an acquisition in the offshore market, would you expect that your relationship with EDS would change at all.
A – Gordon Coburn: As Francisco mentioned, EDS, when we announced this relationship, it was clear, we are not exclusive offshore provider and there is not an expectation that we would be their exclusive offshore provider so, we, there are rumors everyday, and I have no idea what rumors are true what are not, but what I can say is, what we are focused on is, if we have a healthy relationship and a growing relationship with them.
Q – Rod Bourgeois: Okay. That is great, and one final thing. There is trend towards the larger Indian firms winning larger contracts, do you assume in your guidance this year, that you will begin to win more of the larger deals that are out there?
A – Gordon Coburn: It is kind of funny, the, we have been winning larger deals, I think, the difference is, you know there are two type of deals as it goes one is upfront commitment and one is the hunting license, we tend to focus on the hunting license deals, now those deals can end up being as large or larger than the ones with upfront commitment but obviously they are not as visible upfront so, we are feeling very good about the portfolio of customers that we have won, have won the strategic customers and that some of them could become quite large.
Q – Rod Bourgeois: That hunting license if grows, is certainly working and paying off. Though sounds like the right strategy. Thanks very much.
A – Gordon Coburn: Thanks.
Operator: I would now like to turn the conference back over to the management for closing remarks.
Lakshmi Narayanan, Chief Executive Officer: thank you. Thank you Gordon for those comments and then conclusion. I would like to say about the performance for the fourth quarter, captured tremendous year for Cognizant in 2005, our success in recruiting the best talent in the industry and the focus on expanding our service offering has captured new revenue opportunities and dedication to building deep relationship with our customers, rooted in our commitment to delivering the highest levels of services in the industry, enable Cognizant to sustain exceptional growth in 2005. More importantly we believe that we have in place the right foundation to continue our industry leading financial and operating performance in 2006 and beyond. Thank you for joining us in the call today, and we look forward to speaking to in the next quarter.
Operator: Thank you ladies and gentlemen. This concludes Cognizant Technology Solutions fourth quarter earnings conference call. You may now disconnect.